Operator: Good day and welcome to the Progress Software Corporations' First Quarter Earnings Conference Call. At this time, I would like to turn the conference over to Bud Robertson. Please go ahead, sir.
Bud Robertson: Good morning. This is Bud Robertson, Senior Vice President of Finance and Administration and Chief Financial Officer of Progress Software Corporation. Joining me today are Joe Alsop, Co-Founder and CEO, Rick Reidy, Chief Operating Officer, and members of the senior management team. We have prepared a slide presentation to view during this call. The slide presentation can be found on the Investor Relations section of the Progress website by clicking on the Live Webcast icon. The matters we will be discussing today, other than historical financial information, consist of forward-looking statements that involve certain risks and uncertainties. Statements indicating that we expect, estimate, believe, are planning or plan to are forward-looking, as are other statements concerning future financial results, product offerings or other events that have not yet occurred. There are several important risk factors which could cause actual results or events to differ materially from those anticipated by the forward-looking statements contained in our discussion today. Information on these risk factors is included in our Securities and Exchange Commission reports. We reserve the right to change our budget, product focus, product release dates, plans and financial projections from time to time as circumstances warrant. We shall have no obligation to update or modify the information contained in our discussion in the future when such changes occur. With respect to any non-GAAP financial measures discussed in this call, we have provided on our website a presentation of the most directly comparable GAAP financial measure and a reconciliation of the non-GAAP financial measure to the most directly comparable GAAP financial measure. You can access this information, which is included in our earnings release, at www.progress.com. We reported this morning the following results for our first fiscal quarter of 2009, which are reflected in the first few slides of the online presentation. On a GAAP basis, we reported the following. Revenue for the quarter decreased 1% from $121.6 million in Q1 of fiscal 2008 to $120.9 million. Operating income for the quarter decreased 72% from $17.1 million in Q1 of fiscal 2008 to $4.7 million. Net income decreased 72% from $12.8 million in Q1 of fiscal 2008 to $3.7 million. And diluted earnings per share decreased 69% from $0.29 in Q1 of fiscal 2009 to $0.09. On a non-GAAP basis we reported the following. Non-GAAP revenue increased 1% or $121.6 million in Q1 of fiscal 2008, to $122.4 million. Non-GAAP operating income decreased 11% from $25.5 million in Q1 of fiscal 2008 to $22.8 million. Non-GAAP net income decreased 15% from $18.6 million in Q1 of fiscal 2008 to $15.8 million. And non-GAAP diluted earnings per share decreased 7% from $0.42 in Q1 of fiscal 2008 to $0.39 this quarter. The non-GAAP results in the first quarter of 2009 exclude after-tax charges of $3 million for stock based compensation $3.5 million for restructure and acquisition related expenses, $4.7 million for amortization of acquired intangibles and $0.9 million for purchase accounting adjustments for deferred revenue. The non-GAAP results in the first quarter fiscal 2008 exclude after-tax charges of $3 million for stock based compensation, $2.5 million for amortization of acquired intangibles and $0.2 million for professional services fees associated with the investigation and shareholder derivative lawsuits related to the company's historical stock option grant practices. The following operational analysis, presented utilizing our non-GAAP financial information. In reviewing the fiscal 2009 first quarter within the year-over-year total revenue increased to 1%. Software and license revenue was up2%, maintenance revenue increased 3% and professional services revenue decreased 18%. Regard to the impact of changes in foreign exchange rates on the first quarter total revenue in the first quarter of fiscal 2009, would have increased 10% on a constant currency basis of course this is the 1% increase recorded. Software license revenue would have increased 11% on a constant currency basis versus the 2% increased recorded. Maintenance and services revenue would have increased 10% on a constant currency basis instead of being flat. As noted in slide 9, international business was 55% of the quarterly total as compared to 59% in Q1 of fiscal 2008. Revenue from the open edge product line decreased 17% to $68.7 million this quarter from $83 million in Q1 of fiscal 2008 and represented approximately 56% of the total revenue this quarter as compared to 68% of total revenue in Q1 of fiscal 2008. Revenue from the data infrastructure product line decreased 3% to $22.2 million from $22.8 million in Q1 of fiscal 2008. Revenue from the enterprise infrastructure product lines including the recently acquired IONA product lines increased 100% to $31.5 million from $15.8 million in Q1 of fiscal 2008. Revenue from channel partners including application partners in OEMs accounted for 46% of our total licensed business this quarter as compared to 58% in Q1 of fiscal 2008. Primarily the result of revenue from Orbix and Artix the former IONA product line which are more heavily weighted towards end users. Within the OpenEdge product line partners accounted for 73% of our license business this quarter the same as in Q1 of fiscal 2008. Our aggregate revenue backlog at the end of the first quarter fiscal 2009 was approximately $179 million of which $159 million was included on our balance sheet as deferred revenue primarily related to unexpired maintenance and support contracts. The remaining amount of backlog were approximately $20 million was composed of multi-year license arrangements of approximately $20 million and open software order received but not shift of less than $1 million. Our aggregate revenue backlog at the end of the first quarter fiscal 2008 was approximately $187 million of which $163 million is included on our balance sheet as deferred revenue primarily related to unexpired maintenance and support contracts. The remaining amount of backlog were approximately $24 million was composed of multi-year license arrangements of approximately $21 million. And open software license orders received but not shift of approximately $3 million. We do not believe that backlog as of any particular date is indicative of future results. Quarter end headcount of 1,853 was up approximately 10% from 1 year ago. The increase was primarily due to the acquisition of IONA. Looking at slide 11, highlighting balance sheet information our cash balance was approximately $124 million at the end of the quarter. In addition, we had approximately $59 million in investments related to municipal and student loan auction rate securities that we classified as non-current on our balance sheet, because these securities failed to clear at auction, and we are currently unable to sell these securities in the market. The failed auctions has resulted in higher interest rates being earned on these securities, but the investments currently lack short-term liquidity. We have recorded a temporary reduction value of approximately $8 million due to this lack of liquidity. Our accounts receivable days sales outstanding, or DSO was 72 days at the end of the first quarter, up 4 days from one year ago, and up 11 days from year end. During the first quarter of fiscal 2009, we repurchased approximately 100,000 shares of our stock at a cost of $1.7 million. At the end of the first quarter, there were approximately 9.7 million shares available for repurchase under our board-authorized share repurchase program that expires on September 30, 2009. A summary of our historical share buyback is reflected in slide 12. During the past months there have been several significant announcements and development. In January, we announced that Progress Apama was named a top complex event processing, or CEP innovator in a new a report by a leading independent research firm IDC. The report compares the product capabilities of major CEP vendors same as our enterprise of [UCEP] and looks at how prepared CEP vendors are to respond to emerging market trends. The IDC report titled complex event processing, opportunity analysis in assessment of key products, analyze product offerings in five key areas. Apama was the only product to receive IDC's highest ranking in three of the five categories. The report confirms Apama products position as a CEP market leader and highlights superior overall performance, functionality and market penetration. Also in January, we announced that as far as the resource name Progress Sonic ESB as the leader in the enterprise service bus or ESB market with top scores in the current offering and strategy dimensions of the Forrester Wave enterprise services buses to Q1 2009 report. The Forrester research reported evaluated strength and weaknesses of 10 top commercial and Open Source ESB vendors based on a compressive set of evaluation criteria. In February, we announced that IDC ranked the award-winning progress OpenEdge business application development platform as the number one pure play and better database management system or DBMS in the world. IDC presented their finance and report Worldwide Embedded Database Management Systems 2007 Vendor Shares. More information on these announcements and other announcements and upcoming events can be found on our website at www.progress.com. And looking to fiscal 2009, in the second quarter, we are providing the following guidance. 1, fiscal 2009, we expect GAAP revenues to be in the range of $492 million to $502 million, and we expect non-GAAP revenue to be in the range of $495 million to $505 million. The non-GAAP revenue expectation includes adding back the purchase accounting adjustments for differed revenue. Software license revenue is expected to be in a range of $180 million to $190 million. 2, we expect revenue from the OpenEdge product line to be in the range of $270 million to $275 million, representing the year-over-year decline of approximately 17% to 19% with approximately one-half of the decline attributable to year-over-year changes in exchange rates. 3, we expect revenue from the data infrastructure product lines, which includes the data DataDirect, DataXtend, DataServices and ObjectStore products to be in the range of $101 million to $106 million, representing year-over-year change of approximately 0% to 5%. 4, we expect revenue from the Enterprise Infrastructure product line, which includes the Sonic, Actional, Apama, Artix, Fuse and Orbix products, to be in the range of $124 million to $130 million, representing a year-over-year increase of approximately 45% to 55%. 5, we expect GAAP operating income to be between $48 million and $53 million. 6, we expect non-GAAP operating income to be between $101 million and $106 million. 7, we estimate that non-operating income will be around $1 million for each quarter of fiscal 2009, or this will vary depending on interest rates, potential stock repurchases, fluctuations in foreign exchange rates, and our cash balances. 8, we expect our effective tax rate to be between 38% and 39% for GAAP purposes and between 34% and 35% for non-GAAP purposes. The difference primarily relates to the tax treatment of stock-based compensation and amortization of acquired intangibles. 9, estimating future weighted share accounts for earnings per share depends on future options activity, future share repurchases, share prices and other factors. For now, we think using a share count of between 40 million and 41 million for each of the remaining quarters of fiscal 2009 for diluted earnings per share seems reasonable. 10, we expect diluted earnings per share on a GAAP basis to be in the range of $0.78 to $0.88. On a non-GAAP basis, which excludes total charges of approximately $0.92, we expect non-GAAP diluted earnings per share to be in the range of $1.70 to $1.80. 11, for the second quarter of fiscal 2009, we expect GAAP revenue to be between $116 million and $118 million, and non-GAAP revenue to be between $117 million and $119 million. We expect software license revenue between $39 million and $41 million. We expect diluted earnings per share on a GAAP basis to be in the range of $0.15 to $0.17. On a non-GAAP basis, which excludes total charges of approximately $0.22, we expect non-GAAP diluted earnings per share to be in the range of $0.37 to $39. 12, we are utilizing an average euro exchange rate of $1.30 in preparing this guidance. We estimate that the difference between this rate and the average euro rate in fiscal 2009, along with the changes in other currencies will result in an 8% to 10% reduction in the growth rate for revenue in fiscal 2009 and 11% to 13% reduction for revenue in the second quarter. Our non-GAAP results exclude stock-based compensation, amortization of acquired intangibles, purchase accounting adjustments for deferred revenue, restructuring acquisition related expenses and professional services fees associated with our ongoing stock option investigation. A reconciliation between our GAAP and non-GAAP expectations is included in our press release. This guidance assumes no further economic shocks, the continued success of our partners, improving our ability to generate new business end user accounts, continued strong performance from our higher growth product lines, especially the Enterprise Infrastructure product lines and DataDirect product line, and further strengthening of US dollar against currencies from which we derive a significant portion of our business. As we have advised, these and a number of additional factors may affect future results and actual results may differ materially. Consequently, there can be no assurance that we will achieve results consistent with these comments. We plan on releasing financial results for our second quarter on Thursday, June 18th and holding the usual conference call that morning at 9:00 am. And now we will like to open up the call to your questions. We will first take questions first from the analysts that publish research on Progress Software and then questions from anyone on the call.
Operator: (Operator Instructions). And our first question comes from Brent Williams with Benchmark Company.
Brent Williams - Benchmark Company: Good morning, guys. Kind of go through a couple of things within product divisions, so first on Enterprise Infrastructure, could you give some quantitative color on the contribution for the IONA-based products on the license stream in EID. In other words, is that hanging in there flat down, just want to try to peel that apart a little bit for comparability?
Bud Robertson: On the license?
Brent Williams - Benchmark Company: On the license or total revenue.
Bud Robertson: Yeah, I will do total revenue. If you look at the total revenue, Brent, excluding Orbix, Artix and FUSE, which is the IONA products in Q1, the total revenue was up by around 20%. And if you adjust, the currency was up by more than 25%.
Brent Williams - Benchmark Company: Great, and that's very impressive in the current environment. Any changes in sort of the large deal flow there?
Bud Robertson: No.
Rick Reidy: Not really.
Brent Williams - Benchmark Company: Great. And then no Progress Software conference call now last couple years will be complete without my asking for more color on Apama kind of interested in things like how well they are doing broadening outside of financial services, anything on deal sizes, etcetera?
Rick Reidy: Brent, hi this is Rick.
Brent Williams - Benchmark Company: Hi, Rick.
Rick Reidy: Pharma had a good quarter continues to do very well. Interestingly it did have a particular good quarter outside of our capital markets which is our traditional strength. Although still the lion share of the business come from capital market. We are looking at other verticals transportation, logistic, telecommunications at the moment for pushing that product into new areas. Overall, its pipeline is strong it's looking good.
Brent Williams - Benchmark Company: Great, and then bouncing over to the DataDirect division, can we talk about two things, one is how the Shadow type product lines are doing, and second I notice you redefine the segments to include objects store, data extents, etcetera. Can we get an idea of how the comparable performance of the DataDirect and Shadow were doing just so can you just sort of normalize that?
Bud Robertson: Let me take the first part of that and Rick can answer the second part. As far as the business what you call I think the old DataDirect business Brent?
Brent Williams - Benchmark Company: Right.
Bud Robertson: If you look at the Q1 and that one, it was as always is historically a slow quarter. It was down slightly, it was up adjusted for currency as most of our products were. So, it grew slightly adjusted for currency but because the currency was down slightly.
Brent Williams - Benchmark Company: Okay, and then the other question about Shadow within that group.
Rick Reidy: Yes, this is Rick again, the Shadow business was very good in Q1 and the OEM business was very strong. The corporate what we call Connect business that has below plan, but as Bud said, DataDirect typically has much better second half. So, it sort of a normal quarter for them.
Brent Williams - Benchmark Company: Great. And then lastly moving into the core business, what was the international breakdown for OpenEdge not company overall but OpenEdge in general just trying to see if I get a little bit more granular assessment of FX impact on OpenEdge?
Bud Robertson: I don't have a breakout in front of me Brent, but I think two-thirds of the OpenEdge business is outside of North America.
Brent Williams - Benchmark Company: Okay.
Bud Robertson: So, it has a much larger impact, currency impact as you can imagine.
Brent Williams - Benchmark Company: Right. Okay. And then in terms of looking, you had commented in Q4 that you have seen deals start to get pushed out from the end customers. Do you think that the change in the sales cycle or whatever change begin in that point. Do you think that the sales cycle timeframes are now stabilizing or do you see that as continuing to get a drag out a little bit further? Is there any qualitative sort of way of thinking about that?
Dave Ireland: Brent this is Dave. I wish there was one magic number of formula that we could predict here, but clearly with the economic situation deals do get stretched out, sometimes its a case by case, sometimes its size of company situation. But what it clearly points to is that more and more people in the approval are in the approval cycle. And therefore, deals tend to get put on hold, though get delayed. But there is no necessary (inaudible). 
Brent Williams - Benchmark Company: Okay, great. That's it for me. Thanks.
Operator:  Thank you. And your next question comes from Richard Davis with Needham & Company.
Richard Davis - Needham & Company: With regard to enterprise infrastructure, their functionality gaps that you believe you should fill or that you would like to fill in terms of additional features and functions that you would like to add to that suite of tools and things?
Rick Reidy: Alright, we are all sort of remote, so we don't know who is going to take that question, so I'll take it. This is Rick. The gaps in what I guess we might have traditionally called that (inaudible) portfolio, there are some that we do partnership with, so that we don't actually sell ourselves, but overall we do have a fairly complete offering, so there is no direct plan at the moment to fill those gaps.
Richard Davis - Needham & Company: Okay. Have you generated any revenue synergies? It sounds like IONA actually did well, but if you generated revenue synergies, remember when you had it, because you now have Artix and Sonic together. Talk about are you jointly selling that, is it advantageous to do so? I know they are different products, but they are way dissimilar, so kind of talk about what the opportunities are there to make that business even better?
Rick Reidy: Yes, the intention is absolutely to work. And although the products are Enterprise Service Buses, they have very different orientations, and I won't get sort of into this technical detail. Artix is stronger at one aspect, Sonic, the other. But the ultimate objective is to combine those in one complete offering. And for the time being, we focused the Artix version out of that a particular segment of the ESB and Sonic at another.
Richard Davis - Needham & Company: Got it. And then the last question for Bud. The expectation has changed on the revenues, so almost fearlessly taking notes and things. Is it entirely due to currency, or is there implicit in there, some actual expectation of kind of currency adjusted reduced revenue expectation that kind of came up with different things?
Bud Robertson: From the prior guidance we gave, the current economic conditions are probably causing around a 5% drop in revenue and they remain in decrease due to the further strengthening of the currencies.
Richard Davis - Needham & Company: Got it, okay. Well if they keep printing money maybe the currency wont pay in this as much of issue in itself. Okay, well, thank you very much.
Rick Reidy: Yes.
Operator: And ladies and gentlemen, at this time I would like to open our question-and-answer session to all participants on the phone line. (Operator Instructions). And our next question will come from Jean Orr with Nutmeg Securities. 
Jean Orr - Nutmeg Securities: Good morning, thank you. I was just curious about the pace of business during the quarter and if you saw [any case]?
Dave Ireland: I missed that last part, Jean, could you repeat that please?
Jean Orr - Nutmeg Securities: I wondered if you saw any changes in the pace of business during the quarter.
Dave Ireland: Jean this is Dave. What we were seeing is that the buyers are cautious and moving slower but the buyers are there and the buyers are interested and they are trying to move their businesses forward. So, we are engaged in a lot of activity and the fundamental challenge is getting it through the pipe and that just takes a longer time and lot of times we dealt in a smaller deal than we typically see, but the business activity continues to be strong and particular with newer technologies.
Jean Orr - Nutmeg Securities: So, the economic conditions didn’t really make a difference in terms of what you saw during the quarter?
Dave Ireland: No, how they effect the economic result is that deals will take longer and deals will be smaller, but the deal activity remains goods. So that then results typically in smaller deals and deals that we close further out.
Jean Orr - Nutmeg Securities: Okay.
Joe Alsop: Jean, this is Joe. If you are asking was there a sort of difference between December to January and January to February, I think the answer I would give you is no, month-by- month was sluggish. And I am not sure that's the question you were asking.
Jean Orr - Nutmeg Securities:  Yes, it is. I am just hoping for something that shows signs of life or some improvement. Also just curious why the tax rate is higher than we had talked about earlier?
Bud Robertson:  What do you mean between the GAAP and non-GAAP, the non-GAAP is 34.5. And then difference was as I stated on the call that difference between the GAAP and the non-GAAP stock-based is equated to achieve a stock-based comp and then the amortization of acquired intangibles. So, it was 38 to 39 for GAAP, 34 to 35 for non-GAAP.
Jean Orr - Nutmeg Securities:  Thank you.
Operator:
Steve Koenig - KeyBanc Capital Markets: Hi, good morning. Thanks for taking my question. I was wondering if you could dig into a little bit in terms of how the application partners are doing. The interest in any commentary you have regarding linearity of those results, visibility of those results. And in addition maybe complexion as well, how are things holding up for the different types of out partners etcetera, if there is any general comments you have there?
Dave Ireland:  Yes, this is Dave. Regarding application partners business, what we are seeing is softness with the application partners. It varies but by industry and some cases by geography, but the primary softness is in the manufacturing, financial and construction industries where they are having a tougher goal of it. So that's really the difference. Within the manufacturing the one bit of focus on the automotive they are having the toughest time.
Steve Koenig - KeyBanc Capital Markets: Okay. And any thoughts on kind of how that linearity came in and visibility of that business here?
Bud Robertson: You mean our ability to project that?
Steve Koenig - KeyBanc Capital Markets: Yes.
Bud Robertson: Well I mean that’s part of our daily job, is to work very closely with the partners and keep our finger on exactly what their business is doing and understand their markets and what’s going on in their markets. And obviously we factored that back into our overall forecast for the company.
Steve Koenig - KeyBanc Capital Markets: Okay. Sounds like you feel fairly confident in your forecast here for the next quarter then.
Bud Robertson: Yes.
Steve Koenig - KeyBanc Capital Markets: Okay. Can I ask you about the merger of you have two CEP competitors merged do you want to talk a little bit what do you think is going on in terms of the dynamics of that business, of that markets I should say?
Rick Reidy: Yeah this is Rick, I assume you are talking about the well this is two small companies, two small CEP companies that combined.
Steve Koenig - KeyBanc Capital Markets: Right
Rick Reidy : At least what they have publicly claimed is, the combined two have 80 customers, which is still much smaller than Apama. I just think it is the classic consolidation effort that happens when smaller companies start loosing market share. That's really what it all about.
Steve Koenig - KeyBanc Capital Markets: Okay. And lastly, just want to understand little bit, thanks for helping us with the number without IONA. And on IONA per se was it all around, ahead of your expectations, anything that you would like to see improvement on in IONA, may be a little color there would be helpful?
Bud Robertson: It is Bud, IONA performed, as we have expected it was slightly down, like everything else was down but it's basic we expect for the, first, last two quarters have been just above what we thought it would be and we are projecting that same run rate basically for the next couple of quarters through the end of the year.
Steve Koenig - KeyBanc Capital Markets: Okay terrific. Thanks Bud, thanks everyone.
Operator: Thank you and moving on to our next question which comes from Eugene Fox with Cardinal Capital Management.
Eugene Fox - Cardinal Capital Management: Gentlemen could you all talk about DataXtend SI?
Bud Robertson: DataXtend SI.
Eugene Fox - Cardinal Capital Management: Yes.
Rick Reidy: This is Rick again, it actually had a very good quarter particularly in the product revenue side and has a great pipeline. It closed a couple of significant deals, I'm not sure I can name. So it had a strong quarter looking good.
Eugene Fox - Cardinal Capital Management: Prospects for the balance of the year still look good?
Rick Reidy: Yes
Eugene Fox - Cardinal Capital Management: Okay. Bud can you talk about your thought on sort of cash flow generation for the year and use of cash?
Bud Robertson: Well we are projecting cash flow for the year to be in the range of probably $80 million to $100 million which is where we have expected it to be. Yeah cash flow will be, the cash generation will be used for you know both you know acquisition opportunities as well as for share buybacks. Right now we are building as you know we are building some cash up. And we expect to as we go forward use that cash as we always have number one priority has always been technology and products that allow us to continue to grow the business. And then we also obviously for stock buybacks and that’s consistently what we have done and that’s what we still plan on doing.
Eugene Fox - Cardinal Capital Management: Okay, thanks gentlemen.
Operator: Thank you very much (Operator Instructions) It looks like we have another question from Brent Williams with Benchmark Company.
Brent Williams - Benchmark Company: IONA stuff on any sort of trends on the Orbix the core business, it was in a state of decline for a while. But then I think right before the acquisition it kind of slowed the rate of decline if I recall correctly might be even down step a little bit since people were starting to chop funding for, those projects where they were trying to replace it. So could we look at the core businesses holding up better than maybe a year ago or kind of just continuing to flow downwards just any sort of thought on that?
Dave Ireland: Brent this is Dave. I would classify it as stable. I mean, the customers that are using in very important and critical applications they continue to use it, so I would look at the business as compared to historical having stabilized.
Brent Williams - Benchmark Company: Great, thanks very much for the follow-up.
Operator: We will take our next question it comes from Steven Koenig again with KeyBanc Capital Markets.
Steven Koenig - KeyBanc Capital Markets: Great, thank you. I was just wondering perhaps the question for Bud can you give us any sort of detail on your plans for cost control or cost containment as we move throughout the year?
Bud Robertson: Yeah, we have already put many cost control containments in place we have done, we have had a wage freeze here. We have done looked at our T&E travel and expense budgets. We have also as we merge with IONA we reduced the headcount by over 10% from that merge that combination. So and we will continue to look for efficiencies but we continue also to hire in the key areas where we are going to grow this business. So it's a blend of both. But we have cost containment activities in place to allow us, when you think about the drop and the negative impacts from currency which is going to cost us $50 million this year potentially year-over-year as well as on revenue in another probably over $0.30 on EPS that same currency drop. And we are holding better than of 20% non-GAAP operating margin which positions us, well for the future growth opportunities we see in front of us.
Steven Koenig - KeyBanc Capital Markets: Terrific then Bud any change in terms of your outlook on making the smaller businesses profitable here for the year?
Bud Robertson: No the ones we have said stated in the beginning of the year we want to make the enterprise infrastructure grew combined totally as a profitable entity that's where we are shooting and obviously other ones are. The other groups are profitable.
Steven Koenig - KeyBanc Capital Markets: Okay great. Thanks a lot.
Operator: Thank you. And we will take another follow up question from Eugene Fox with Cardinal Capital Management.
Eugene Fox - Cardinal Capital Management: Gentlemen can you run through the $5.5 million charge number, how much of it was cash and basically what did --
Bud Robertson: 90% of that charge is severance related and its all cash.
Eugene Fox - Cardinal Capital Management: Okay should we expect any more of those charges through this year Bud?
Bud Robertson: Not anticipating it right now. That's based on today's environment.
Eugene Fox - Cardinal Capital Management: Okay. When I looked at your sort of your expense breakdown it looks like your product development costs were a little higher than they had been historically as a percent of revenues. Should we expect those to moderate or how should I think about the spending level in that particular category?
Bud Robertson: I would think that the spending level would stay the same, obviously the percentage changes based on the revenue. But we also added in R&D expenses, when we acquired IONA we acquired companies. One of the things we do acquire is the R&D group. We try to see you know reduced other areas but R&D reduce some but most of that is technology we are buying is in fact the R&D group. So you did see that jump with the IONA acquisition.
Eugene Fox - Cardinal Capital Management: So, I really should not --
Bud Robertson: But I will expect that to continue to grow a lot in the future. We will have some strategic hires, but again it should flatten out I would believe. As far as a dollar amount percentage will depend on the revenue line obviously.
Eugene Fox - Cardinal Capital Management: Capital spending for the year Bud?
Bud Robertson: Not the same depreciation levels and there maybe spent less because we are also looking at capital programs and we are delay in some things.
Eugene Fox - Cardinal Capital Management: Last question given the environment and more I wish could you talk about the acquisition environment procedure?
Bud Robertson: Dave, you want to take that?
Dave Ireland: Sure. Bud did you refer to me or Rick?
Bud Robertson: Either or on the acquisition environment based on the current market?
Dave Ireland: Well, I will make a general comment and then Rick can follow up and as Rick noted we are all remote. Obviously, the M&A environment should become much more favorable to the buyer. But I do think there is a time lag between the kind of melt down that started in September, October and kind of resetting of expectations on the part of sellers as to what your businesses are worth. Obviously enterprise value of, or the market capital progress is down whatever 40%, but that does not necessarily translate in the private market, the non-public companies and even amongst the public companies is always the issue of well we think can get back to there and therefore it's tougher to do deals in as way you use the current market cap is a basis for the negotiations. So you don’t expect that may continue for a while? But Rick can perhaps talk more specifically to potential M&A or the overall environment.
Rick Reidy: I actually think that was I mean sort of the west side effect as a bunch of public valuation of course everybody knows and just this overall resetting its expectations. Since it was so quick and has not really set in yet with a lot of companies. So I think going forward that will change and the acquisition climate client for us will bear a lot of fruit.
Eugene Fox - Cardinal Capital Management: Thank you.
Operator: Thank you very much ladies and gentlemen and there are no further questions and this ends our question-and-answer session. I would now like to turn the call back over to Mr. Robertson for any closing remarks.
Bud Robertson: Thank you, this concludes today’s conference call. Thank you all for participating.
Operator: And once again we would like to thank everyone for today's participation that does conclude our conference. Have a wonderful day.